Operator: Good morning, and welcome to the Alico Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to your host, John Mills, Managing Partner at ICR.
John Mills: Good morning everyone, and thank you for joining us for Alico's Third Quarter Fiscal Year 2025 Conference Call. On the call today are John Kiernan, President and Chief Executive Officer; and Brad Heine, Chief Financial Officer. By now, everyone should have access to the third quarter fiscal year 2025 earnings release, which went out yesterday at approximately 4:00 p.m. Eastern Time. If you've not had a chance to review the release, it's available on the Investor Relations portion of the company's website at alicoinc.com. This call is being webcast, and a replay will be available on Alico's website as well. Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements. Such statements are subject to risks, uncertainties, and other factors that may cause the actual results to differ materially from those expressed or implied in these statements. Important factors that could cause, or contribute to such differences include risks detailed in the company's quarterly reports on Form 10-Q, annual reports on Form 10-K, current reports on Form 10 -- on the 8-K, and any amendments thereto filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today's call, except as required by law. During this call, the company may also discuss non-GAAP financial measures, including EBITDA, adjusted EBITDA and net debt. For more details on these measures, please refer to the company's press release issued yesterday. And with that, it is my pleasure to turn the call over to the company's President and CEO, Mr. John Kiernan.
John E. Kiernan: Thank you, John. Good morning, everyone, and thank you for joining us for Alico's Third Quarter of the Fiscal Year 2025 Earnings Call. I'm pleased to report another quarter of significant progress in executing our strategic transformation to become a diversified land company. We successfully completed our final major citrus harvest during the third quarter, marking a pivotal milestone in our transformation. This harvest represents the conclusion of our capital-intensive citrus production operations, allowing us to focus our resources entirely on our long-term land development and diversified usage strategy. Our land monetization and asset optimization efforts accelerated in the third quarter, generating $9.3 million from combined land and equipment sales. The land component included approximately 694 acres, bringing our year-to-date land sales to $23.5 million from approximately 2,794 acres sold, exceeding our original $20 million guidance for fiscal 2025. Additionally, we received $16 million in crop insurance proceeds during the quarter, which significantly strengthened our financial position and provides additional flexibility as we advance our transformation initiatives. This insurance recovery, combined with our land sales, has resulted in a robust $42.1 million cash position, and a strong liquidity profile to execute our strategic transformation strategy. On the development front, we achieved a major regulatory milestone with the Florida legislature approval of House Bill 4041 to create the Corkscrew Grove stewardship district in June. This represents a crucial step forward in our Corkscrew Grove Villages development project. The enabling legislation received unanimous support from the Collier County legislation delegation, multiple Florida House committees, the Senate Rules Committee, and both the full Florida House and Senate. The proposal also received unanimous support from the Collier County commissioners. The district will assist Alico in effectively financing infrastructure, helping restore and manage natural areas, and overseeing the administration of our planned -- our master planned communities. Following this legislative approval, we appointed a 5-member Board of Supervisors in August to facilitate collaboration and communications with local, state and federal government agencies and community stakeholders. We also received the first round of comments from the South Florida Water Management District and Collier County regarding our development applications. This feedback is part of the normal regulatory review process, and we're working diligently to address these comments as we advance through the entitlement process. The process remains on track with our expectations with the final decision by the Collier Board of County Commissioners still anticipated in 2026. Our diversified agricultural operations continue to progress as planned. We successfully negotiated agreements to lease approximately 5,250 acres to third-party citrus growers for next season, and we're in discussions with vegetable and fruit growers who are clearing as many as 500 acres for us this season in lieu of lease payments. These arrangements are generating revenue while maintaining productive use of our agricultural lands during our transition period. Our near-term real estate development projects including Corkscrew Grove Villages, Bonnet Lake, Saddlebag Grove and Plant World properties continue advancing as planned. These four properties totaling approximately 5,500 acres maintain our estimated present value of between $335 million and $380 million, and could be realized within the next 5 years. This represents significant value for our shareholders from just 10% of our land holdings. With our strategic transformation well underway, and our financial position strengthened, we remain confident in our ability to deliver enhanced long-term returns for our shareholders. Our approach of balancing the development of select high-value properties with diversified agricultural operations, creates a business model that leverages our core strengths while adapting to market opportunities. I'll now turn it over to our CFO, Brad Heine, to provide more detail on our financial performance.
Bradley Heine: Thank you, John, and good morning, everyone. For the third fiscal quarter ended June 30, 2025, revenue decreased 38% to $8.4 million, compared to $13.6 million for the prior year period. For the 9 months ended June 30, 2025, revenue decreased 5% to $43.3 million, compared to $45.7 million for the prior year period. For the 3 and 9 months ended June 30, 2025, Alico Citrus harvested approximately 2.1 million and 10.8 million pound solids of respectively, compared to 4.3 million and 14.7 million pound solids of fruit in the same periods of the prior fiscal year. As expected harvest volumes in 2025 were lower compared to 2024 levels, driven by the impact of Hurricane Milton, which hit Florida in October of 2024. Alico's blended price per pound solid for the 3 and 9 months ended June 30, 2025, increased $0.81 and $0.85, respectively, as compared to the same periods in the prior year, as a result of more favorable pricing in one of our contracts with Tropicana. As John said, we completed our last major citrus harvest in April and have thus concluded the majority of our capital investment in citrus operations. Land management and other operations revenue for the 3 and 9 months ended June 30, 2025, increased 57% and 68%, respectively, as compared to the same periods in the prior year. This was primarily the result of an increase in rock and sand royalty income and sat sales, partially offset by lower farming, brazing and hunting lease revenues due to the sale of the Alico Ranch. Total operating expenses for the 3 and 9 months ended June 30, 2025, were $36.4 million and $229.3 million, respectively, as compared to $17.9 million and $82.4 million in the same periods in the prior year. The increase in operating expenses was driven by the decision to wind down our citrus operations and the impairment of our young trees, which were not yet being depreciated. General and administrative expenses for the 3 and 9 months ended June 30, 2025, increased $0.4 million and $0.8 million, respectively, as compared to the same periods in the prior year. The increase was primarily due to the acceleration of depreciation on certain administrative assets and higher legal fees, both related to the strategic transformation. Our other income expense for the 3 months ended June 30, 2025 increased $0.8 million, compared to the prior year period, driven by sale of approximately 694 acres of land in the third quarter of '25, and a gain of approximately $1.3 million from the sale of equipment and vehicles as compared to the prior year when we sold 798 acres of land. Other income expense net for the 9 months ended June 30, 2025, decreased $60 million, compared to the 9 months ended June 30, 2024, principally as a result of fewer acres of land being sold during the 9 months ended June 30, 2025, as compared to the prior year period when we sold the Alico Ranch to the state of Florida. For the 3 months ended June 30, 2025 and 2024, the company reported a net loss attributable to Alico common stockholders of $18.3 million and $2 million, respectively. The increase in our net loss was principally the result of accelerated depreciation of approximately $40.7 million on our citrus trees due to strategic transformation and the decision to wind down our citrus operations, as well as lower revenue due to the impact of Hurricane Milton in October 2024. Partially offsetting this was crop insurance proceeds of $16 million in the current quarter. The increased loss was partially offset by a tax benefit of $7.8 million for the 3 months ended June 30, 2025. For the 3 months ended June 30, 2025, the company had a loss of $2.39 per diluted common share, compared to a loss of $0.27 per diluted common share for the 3 months ended June 30, 2024. For the 3 months ended June 30, 2025, EBITDA was $19.2 million, compared to $1.3 million for the 3 months ended June 30, 2024. For the 3 months ended June 30, 2025, adjusted EBITDA was $19.3 million, compared to $1.3 million for the 3 months ended June 30, 2024. Turning now to our balance sheet and liquidity. Cash and cash equivalents were $42.1 million as of June 30, 2025, compared to $3.2 million at the end of fiscal year 2024. Net cash provided by operating activities was $22.8 million for the 9 months ended June 30, 2025, compared to net cash used in operating activities of $18.7 million for the 9 months ending June 30, 2024. At quarter end, we had $92.5 million of remaining availability on our line of credit and there were no significant debt maturities until 2029. Total debt was $85.2 million, and net debt was $43.2 million as of June 30, 2025, compared to $92.1 million and $89 million, respectively, at the end of fiscal year 2024. Now I'd like to turn the call back to John to discuss our fiscal year 2025 outlook.
John E. Kiernan: Thank you, Brad. Let me now share our guidance for fiscal 2025 and where we stand in our transformation journey. We've made substantial strides in our transformation this quarter. And with our final major harvest now complete, we've successfully transitioned from capital-intensive citrus production to a diversified land company model. While we continue to have citrus operations from our properties through our roughly 3,800 acres of retained groves, and third-party growers under lease arrangements, we're no longer making significant capital investments in citrus infrastructure. This quarter's $9.3 million in combined land sales and equipment sales, plus the $16 million crop insurance recovery demonstrates the strength of our new approach. The legislative approval and establishment of the Corkscrew Grove Stewardship District represents a significant regulatory milestone that validates our development strategy, and provides the framework for sustainable community- focused growth. With our 5-member Board now appointed, and initial regulatory feedback received from the South Florida Water Management District in Collier County, we're advancing steadily through the entitlement process. Everything is progressing as expected, and we remain on track with our previously announced time lines. Our financial productions remain solid. We continue to expect approximately $20 million in adjusted EBITDA for fiscal 2025. We've achieved $23.5 million year-to-date in land sales, exceeding our original $20 million guidance. And we believe there is potential to achieve another $25 million before year-end. We're positioned to end the fiscal year with approximately -- at least $25 million in cash, and [ sufficient ] liquidity to fund operations through fiscal year 2027. What's particularly encouraging is how our diversified agricultural partnerships are developing alongside our development pipeline. Our leasing arrangements with citrus growers and discussions with vegetable and fruit growers are generating revenue while maintaining productive use of our land during this transition. The transformation we announced in January continues to unfold as planned. We're executing on our strategy to become a diversified land company, while maintaining our commitment to responsible stewardship on our 50,500 acre real estate portfolio. With that foundation in place, I'm confident we'll continue delivering on our commitments while building long-term value for our shareholders. We look forward to updating you on our continued progress next quarter. And with that, we'll open up the line to questions from industry analysts. David?
Operator: [Operator Instructions] We'll take our first question from Gerry Sweeney with Roth Capital.
Brandon B. Rogers: This is Brandon Rogers on for Gerry Sweeney. So for -- you announced the $23.5 million in land sales so far with the potential for $25 million in additional land sales. Are you currently in discussions for those other land sales? And then what is the likelihood you can achieve the $45-plus million in land sales for the year?
John E. Kiernan: I mean we're basically in a transaction. It has a life and a timetable of its own. There's a diligence and inspection period that's continuing to go on. Right now, it's possible that it could close at the end of fiscal 2025. It's also possible that could roll into fiscal 2026. But we think it's a good transaction. We think it's at a fair value. And the timing just is a little bit hazy right now.
Brandon B. Rogers: Okay. And then turning to Corkscrew. Construction on the first village to be in 2028, 2029, if all approvals are granted. What are some potential milestones we can watch for between now and the potential entitlement approvals? And then you have -- what's the likelihood of the final decision by the Collier Board of County Commissioners by 2026? And then is there anything that could delay that?
John E. Kiernan: Okay. So you packed a whole bunch into that one. So let's unpack it. In all of these entitlement projects, there are multiple external variables that the company cannot control. There's all sorts of government reviews. There's additional questioning. We've got some public meetings that will take place. And all of them have to be scheduled, timed, held, sometimes there's follow-ups. So the current timetable that we've articulated in our earnings release, we believe with good confidence, based on what we've achieved so far, as well as the visibility into going forward that, yes, we would be on track for the potential securing of the permits, particularly at our Corkscrew property on the time frame that you had described. But some of those are just out of our control. We've done a very good job of basically turning around quickly of filing efficiently and accurately. We've tried to be very, very transparent with all constituents as we've gone through these entitlement processes, but some of that is just simply out of our control.
Brandon B. Rogers: Understood. And then if I can squeeze one more in. In addition to Corkscrew Grove Stewardship, have you decided that Alico will partner with other groups on development? And then if so, can you give us any additional color on the strategy around bringing the project to permitting, building into market?
John E. Kiernan: So the permitting process is the entitlement process that we're going through right now. And right now, we're handling that as a solo effort with many, many engineers, consultants, contractors, attorneys. Traffic experts and so on that are really experienced in Collier County, working on projects of this size and scale. We've spoken previously, publicly, about our strategy to maintain some optionality. At this point, we don't have a need for a partner at this early entitlement stage. We've got substantial resources to kind of navigate that process without requiring additional capital. The Stewardship District that was recently approved also gives us an avenue to raise capital should we need to build infrastructure prior to basically transferring the property over to builders, or partnering with builders, once the entitlement process is complete. So we've spoken previously that we've had conversations with state and national homebuilders, and they certainly are very much aware of the Corkscrew property itself, as well as our expertise, and kind of what the entitlement process is expected to deliver and what we're looking to do. Because we've got a website up. We've got a lot of the information on that website as far as the Corkscrew Grove Villages project. But right now, there is nothing to basically share with you or the rest of the investor community on any of those other discussions because they're way, way premature and from the optionality perspective, we haven't made a decision whether we want to go down a path, or whether we want to entitle the process and sell the land? Whether we want to entitle the process and basically partner with builders? Or whether we want to entitle the property and basically build ourselves? At this point, we haven't made a final decision about any of that.
Operator: [Operator Instructions] And there are no further questions on the line at this time. I'll turn the program back to John Kiernan for any additional or closing remarks.
John E. Kiernan: Thank you, David. And I want to say thank you to everyone for your continued support of Alico as we navigate this exciting transformation. We look forward to updating you about our further progress in the current quarters and delivering our year-end results in late November. So thank you, and we'll talk to you soon.
Operator: This does conclude today's program. Thank you for your participation, and you may now disconnect.